Jann-Boje Meinecke: Good morning, and welcome to our Q4 results presentation. As usual, Christian, our CEO; and PC, our CFO, will walk us through the performance and key developments in the quarter. This time, we will also spend a bit of time on AI to share our perspective, and we know it's a topic which many of you are interested in. Afterwards, we will, as usual, have a Q&A session with financial analysts, which you can join by Microsoft Teams. So please go to the website and find the link. Let me then just show the disclaimer slide to go through. And then Christian, the floor is yours.
Christian Halvorsen: Thank you very much, Jann-Boje. And good morning, everyone. Very happy to be here to present our Q4 results today. But I -- just quickly, I wanted to take a moment first to reflect on our 2025 results as a whole. Because 2025 was a defining year for Vend, it was a year where we delivered on key strategic priorities and where we made good progress towards our financial targets and a year where we fundamentally reshaped this company. Vend now is a much simplified marketplace company with a leaner cost base and with a sharp focus on our 4 Nordic verticals. And I'll come back to this in just a little bit. . The results that we present for the fourth quarter today are strong. They demonstrate the resilience of our business, and they come as a result of targeted efforts in line with our strategy. Group revenues remained rather stable at NOK 1,510 million, this reflects, on one hand, anticipated headwinds, both in advertising and soft volumes in Jobs. But at the same time, disciplined focus on monetization and ARPA was very strong with the 15% to 20% growth in several of our key segments. The growth in Classifieds revenues, combined then with the disciplined cost management, delivered exceptional results in terms of profitability, and group EBITDA rose with 53% year-on-year and ended up at NOK 491 million. This represents a margin expansion of 12 percentage points to 32%. Let me also mention that the EBITDA for the full year increased 30% compared to 2024. And I think this is a good opportunity to thank my team and all our fantastic employees for their efforts to make this achievement possible. Now in the last quarter of the year, we also continued our simplification agenda. We sold our skilled marketplace portfolio, also several of our venture investments, and we removed the dual class share structure, and that means that we are now operating with this one share one vote system. We also reached a major technical milestone in November with the migration of Blocket to our common Aurora platform. I'll also mention this a little bit more in detail in a few minutes. Finally, reflecting our solid financial position and confidence in our trajectory, we launched a new NOK 2 billion share buyback program in Q4 and last evening, the Board also resolved to propose increasing the ordinary dividend for 2025 to NOK 2.5 per share compared to NOK 2.25 last year. In November 2024, we presented our strategic agenda at the Capital Markets Day in Barcelona. And today, I'd like to give a summary of our progress on this plan since then. And I already touched upon some of the simplification measures that we have done with our organization. Now first of all, our cost level is significantly reduced. If we look at our OpEx to sales ratio excluding COGS, that has improved by 8 percentage points from 65% to 57% compared to the baseline we presented at the CMD. We have now also found homes -- new homes for most of our noncore assets. And I also want to say that the sales progress for delivery is progressing well. We've simplified the company structure materially. The separation from Schibsted Media has been completed. And as mentioned, we no longer have this dual-class share structure. As mentioned at CMD, verticalization is really the essence of our growth strategy. We have successfully executed on a number of, let's say, vertical-specific product and pricing initiatives that has resulted in a strong ARPA growth. And we have rolled out our transactional Recommerce model to all our markets. And the transition to one common platform is also on track with the Blocket transition in November. On the expansion part, we continue to scale our transactional models in mobility and real estate. And we have seen strong growth in both Nettbil, AutoVex and Qasa through last year. In Finland, we reached the #1 position in real estate. And our focus now is to translate that leadership into a sustainable category leadership with stronger monetization. And last, but certainly not least, we have also forcefully executed on our capital allocation agenda, and we have returned close to NOK 8 billion to shareholders in 2025 alone, and our share buyback program is continuing into '26 as well. So now I'd like to just tell a few more comments to the platform transition. This is the slide we showed at CMD and moving all our marketplaces, except Oikotie to a common Aurora platform is something we see has several benefits. It unlocks cost efficiencies. It supports our long-term monetization agenda because it means that we can roll out pricing and product innovations and structures simultaneously and uniformly across all our markets. I would also say that it's a key to scaling our AI initiatives. It means that we can develop things once and then rapidly roll out those with few or no adaptations in all markets. And I said, this is the chart that we showed at the CMD. It shows that we still have some things to do. But all our main brands, except FINN in Norway and Bilbasen in Denmark are now on the common platform. And I also want here to remind everyone that Aurora, the common platform, is built on the FINN technology, and the FINN business logic. And that means that the upcoming FINN transition is of a different nature. It's a more tech transition which then leads to the shutdown of the old legacy FINN platform. And that means that there are no kind of planned changes to the user interface or the product experience, which means that this is an initiative that carries low business risk. Then I'd like to spend a few minutes on Blocket in Sweden. And Blocket continues to come from a position of strength. It's a well-known and highly loved brand in Sweden with lots of engagement across categories. And I think that is a very important context for what we've seen through this platform transition. Blocket -- our Blocket users really care about the Blocket brand and product. And many of the users have long-established habits, particularly in vehicles. So on November 18, we completed the platform transition for Blocket. And as in previous transitions in Finland and Denmark, we did expect that there would be some user and dealer reactions to changes in the product and in the user journeys. But it's fair to say that the reactions we have seen have been stronger. They have been more widespread than we expected. And we are also seeing some of that in the engagement on the site afterwards. Early on, we did experience some technical issues with data and ad statistics to dealers. But I also want to mention that these issues were quickly identified, quickly resolved, but they do explain in part some of the initial reactions from the dealers. If we then look at the metrics. On the professional side, the number of professional sellers, the number of professional car ads is in line with last year. Leads are slightly down, but that is also partly due to seasonality, but on the private side, new car ads are down around 27%. We've also seen that the user satisfaction has recovered more slowly than what we experienced in Tori and in DBA when we did those transitions. But it's also important to say that conversion is better in the new product compared to the old Blocket product. And that explains why, for example, dealer leads and Recommerce transactions are much less affected than the overall traffic on the site. And I also want to say that we have seen improvements on these key metrics since the beginning of this year. Of course, improving the Blocket situation is a top priority for Vend as we enter this year. And we are working continuously to roll out product improvements. We have a particular focus on the app experience, on the search and on the ad insertion for private ads. And of course, also, we are in parallel in continuous dialogue with both users and customers. We have increased our support as one example. And from a commercial perspective, we have postponed the planned price increases to later in the first half of 2026. And our goal is to be a long-term partner with the car industry. And this initiative has been very well received by our customers. So our overall objective is quite clear when it comes to Blocket, stabilize usage, stabilize customer satisfaction and then kind of restore and build on the momentum from having a shared platform. Then I'd like to turn to AI. And I'll begin here by reminding you of the incredibly strong positions that we have across the Nordics. The brands that we operate are 2 household brands. They're known and used by almost everyone in our markets. FINN, of course, is in a complete league of its own with 99% unaided awareness and close to 30 visits per capita every single month. And I really think this matters in an AI context because it means that our brands are really destinations in their own right. They're not dependent on traffic from other sources, whether that is from Google, social media or other sources, users come directly to our sites. And importantly also, traffic from AI platforms today is negligible, even when users use AI tools, they still go directly to our sites to act on that. And that direct relationship with users is really visible. When you look at our engagement metrics, for example, 70% to 80% of our users are logged in, half of them are even identified with electronic IDs. So we know exactly who they are. More than half of our traffic comes through our apps, which is really the channel that is the most engaging. And this combination of trusted brands, direct traffic, deep user relationships is something that is extremely difficult to replicate, and what we believe is an incredibly strong starting point in this new AI world. And it is really against this backdrop that we are, as we've said many times before, very excited about the opportunities that come from AI to improve the user and customer experiences. And we truly believe that we have the right assets to build winning AI products in the features. And in particular, I would say that we see 3 structural advantages that we have. First, it's about the unique data that we have. This is our most important strategic assets. And we truly believe that the most powerful AI products come from combining, let's say, general-purpose models with deep structured and domain-specific data. And this is exactly what we have in our company. Of course, we will take active measures to protect this data. And the approach we will take will vary somewhat across verticals and brands depending on the strength of those. And it's also something that we will experiment with and adapt as we see the landscape evolves over time. Now the second structural advantage is the vertical focus. Our marketplaces really support quite complex, high stakes and long-running user journeys. And -- this is really something that makes them particularly well suited for tailored AI solutions. And we will work, in particular with securing ad supply, improving discovery and matching and supporting better decisions for users and customers. And thirdly, we benefit from scale. Common Nordic platform allows us to build once and roll out to all our markets. And already 18 months ago, we built up our department of AI that ensures that we have specialist competence across the organization. And then finally, I just want to mention again that we don't foresee any AI investments beyond the financial guidance that we have given. So turning to data. And as mentioned, this is what we believe is a decisive differentiator when it comes to building the winning AI products. Of course, the actual data varies somewhat from vertical to vertical, but it broadly falls into these 4 categories. First, it's real-time ad data, and unlike e-commerce, as an example, all our objects are unique, and they are constantly changing. That means that the global AI platforms, if they're going to -- if they want this data, they either have to rely on crawled snapshots, which are quite quickly outdated or they have to rely on, let's say, on-demand lookups, which are slow. And both these approaches lead to a weaker user experience than what we can provide natively on our sites. Secondly, we have aggregated and enriched data, which should build from both the ads and also the user behavior. These can be things like price insights, demand trends, popularity signals things and models that are proprietary to us and also quite difficult for these other parties to replicate. And thirdly, we have a deep personal and behavioral data, of course, AI platforms will also know a lot about you as a person, but we truly believe that we have the most detailed insight into the intent that people have in our verticals. And then fourth, we have transactional data. This is an area that is growing quite rapidly for us. Data from Fiks Ferdig, in Recommerce from Smidig Bilhandel, in Mobility Nettbil and so on. This really reflects actual transactions between people, including what you have bought at what price and so on. And altogether, this data is quite unique, I would say. It's something that we continuously develop and evolve, because this is what we believe will allow us to build the most personalized, the most accurate products for our users and customers. As I mentioned, we established the central department of AI more than 18 months ago. And since then, we have developed, rolled out and tested a range of different AI features across the company, as you can see on this page. But I would also like to say that it is still early days. There isn't any established best practice out there yet. And our goal and priority is to experiment, to learn and then to scale what we see working. And we will, in particular, focus our efforts on a few areas. It's about securing and improving the quality of ads. It's about improving discovery and matching and it's about providing users and customers with the best decision support. And I thought it would be useful actually to show Jobs as an example because this is the vertical where we so far have launched the most AI features, and where we have also seen quite solid improvements in key metrics. And what we really see in Jobs is that the user and customer needs, they actually differ by stage of their journey, and as you can see also on this page, in the consideration phase, for example, when you're early, candidates explore more, let's say, the range of options that they have based on preferences they might have with regards to how they want to have their life or how they think about their career and so on. Then when you come into the more active search phase, the experience becomes more tailored towards more concrete job opportunities. And then finally, when the candidate has found a relevant and attractive job, we use JobMatch to analyze the fit at that individual role level, helping that candidate make a decision whether this is the right opportunity or not for them. And I really think that this -- overall, these vertically tailored products that we build on unique data will outperform more generic AI platforms in delivering the best user experience for these kind of use cases. And we are confident that we will be able to develop these tailored AI products. I think we have a history where we have shown that we are willing to innovate and we take that mindset with us also into the AI era, and we go into that shift with a quite strong position, I would say. So let's move to the more, let's say, regular part of the presentation, and let's start with Mobility. Here, ARPA growth remained strong across all markets and segments in Q4. Professional ARPA was up double digit in every market. It was particularly strong in Norway. And that was following the package launch and also in Denmark, following price adjustments that we made both in January and in August of '25. Private ARPA also showed solid momentum, most notably in Sweden. This was driven by upselling by the value-based pricing and new packages. And Denmark was softer year-on-year, and that came as a result of the reversion of to freemium for cars below NOK 50,000. If we then turn to volumes. And here, we have already shared the volumes for October and November in our presilent newsletter in December. So I think you should know the general direction. In Norway, professional volumes declined. That was mainly due to weakness in the sub verticals, both motorcycles, caravans, which is a reflection of the macro environment. Cars, however, remained stable. Private volumes in Norway was increasing quite a lot, and this was driven by the tax changes regarding electric vehicles starting in January of '26. Then in Sweden and also as we have mentioned on the previous slides, volumes were impacted by the platform transition. Professional volumes also declined, but this was due to the business model change that we have mentioned before in heavy machinery from -- where we went from a subscription to a paper ad model. Cars was broadly flat in volume. And private volumes were down broadly across our categories. Then in Denmark, the market still remains a healthy market. That means fast sell-through rates. And that in the model that we had in '25, reduces the average daily listings for professionals. And the decline in private volumes reflects the introduction of the listing fees that we have mentioned before. If we then move to the financials. Revenues in Mobility increased 11% in Q4 and supported by the strong ARPA growth, Classifieds grew 12%, and the transactional business model delivered 23% growth, and this was driven by a strong quarter in both Nettbil and in AutoVex. Finally, I would say, advertising returned to growth in Q4, where we saw 3% year-on-year growth following the declines that we have seen previously. OpEx excluding COGS increased only slightly, and this is despite the continued investments in the transactional business and in our core product and platform. And then overall, EBITDA increased 21% over Q4 last year, and this results in a 54% margin. Moving then to real estate. In Norway, ARPA increased 22% year-on-year. This was driven primarily by residential for sale, which delivered a 21% ARPA growth in Q4. And for the full year, ARPA in residential for sale was 12% growth. And in Finland, ARPA increased 12% year-on-year in Q4, and it was supported by underlying drivers that we have also discussed before, price increases, mix effects between for sale and rentals, and also continued growth in upsell. Turning to volumes. In Norway, residential for sale actually returned to growth in Q4, and that was after a decline in the quarter before. So we saw 3% year-on-year growth here. And this capped an exceptionally strong year for residential for sale, where ad volumes reached an all-time high, ending up 6% for the full year. Total volumes for Norway declined 4%, and this was driven by lower activity in the rental segment together with commercial and leisure homes. And in Finland, total volumes were down 4% year-on-year. Residential for sale actually grew, but rental volumes continued to decline further, which is a reflection of the ongoing market dynamics in Finland. So in total then, Classifieds revenues grew 15% in Q4. This was driven by the strong ARPA growth and also the high volumes in residential for sale in Norway. The transactional business led by Qasa and HomeQ in Sweden continued to develop well also. And here, transactional revenues were up 31%. And these businesses, of course, they continue still to be smaller in absolute terms, but they are actually becoming now increasingly so and a meaningful contributor to the growth in real estate. And then on costs, OpEx excluding COGS declined 4% year-on-year, and this is despite the marketing investments that we're doing in Finland, which I think reflects the solid cost control that we have in real estate. And overall then, as a result, EBITDA reached NOK 123 million in the quarter, and that is up 60% from the year before. Then we have Jobs. Here, Jobs continued to deliver exceptional ARPA growth of 21%. This was, as before, driven by our segmented price model by adjustments to volume discounts and better upsell of distribution products. Same pattern as before, also volumes continued to decline due to challenging macro, and again, I just want to say that if we compare our volumes to, let's say, the available numbers from Statistics Norway, our numbers reflect what we see in the total national market. Then in Norway, Jobs delivered 7% underlying revenue growth in Q4 and that means that the strong ARPA growth more than offset the 11% decline in volume. And OpEx, excluding COGS, decreased 22%, and this is primarily a reflection of the exits from Sweden and Finland as well as some FTE reductions in Norway. And in total, then EBITDA grew 33%, and this resulted in an EBITDA margin of 56%. And then finally, we have Recommerce. And here, we saw transacted gross merchandise value continue to grow. Finland, in particular, delivered solid GMV growth in Q4. Well, as mentioned before, Blocket's GMV declined and this was a reflection of the temporary impact of the platform transition. In Norway, we also saw transactional volume growth. That improved to 15% year-on-year, and take rates remained solid across all markets, which is a reflection of the scalability of the model that we have in Recommerce. And in total, Recommerce revenues then increased 4%. That means that the strong transactional growth and the private growth offset a 19% decline in advertising as well as the continued phaseout of low-margin and noncore revenue streams. Transactional revenues grew by 23% and we also had a continued improvement in the transactional gross margin. This was supported by both lower COGS as well as pricing initiatives. And here, it's worthwhile to remind everyone that in Q4 last year, we had a one-off of NOK 10 million in a VAT accrual that reduced the reported transactional revenues. That means that the underlying year-on-year growth in transactional revenues and in the total revenues for Recommerce then will be somewhat lower than what you see reported here. And OpEx, excluding COGS declined 6% year-on-year, driven by both FTE reductions and increased AI automation. And EBITDA then improved to minus NOK 44 million, which is an equivalent to 16 percentage points margin improvement. And with that, I will conclude my section and hand it over to PC to go through the financials in some more detail.
Per Morland: Thank you, Christian. Good morning, and welcome, everyone. Let's move to the financials for Q4. In total, revenues on a constant currency basis ended 1% below Q4 last year. This is driven by decline in the Other/HQ segment, offset by solid underlying revenue growth in Mobility, Real Estate, Jobs and Recommerce. Total EBITDA ended at NOK 491 million, 53% up compared to last year, driven by positive developments in all verticals. Christian has already covered the vertical performance, but let me give you some additional insights for the Other/HQ segment. The year-on-year decrease in revenues in Other/HQ was, as earlier quarters, driven by a change in allocation model, combined with revenue decline following the termination of the TSA revenues linked to the split with Schibsted Media. At the end of 2025, TSA with Schibsted Media were fully terminated. Other/HQ had an EBITDA of minus NOK 76 million in the quarter compared to a loss of minus NOK 71 million in the same quarter last year. We have accelerated our cost reductions and delivered ahead of our original plan, but we're not fully able to offset the declining revenues in the quarter. Now let's look closer at the cost development in the quarter. As before, this slide shows OpEx, excluding COGS. During the second half of 2025, we have been able to accelerate the cost takeout ahead of our original plan. This is a combination of earlier termination of the TSA agreements with Schibsted Media, but also a somewhat higher-than-planned cost takeout across our organization. In total, OpEx, excluding COGS, in the quarter declined by 17% compared to last year. Personnel costs were down 11% year-on-year, driven by significant FTE reductions, mainly from the downsizing process that was executed in 2024, combined with closing our jobs positions in Finland and in Sweden, but also ongoing FTE management throughout the year. Total workforce continues to decline, slightly down and now stand at 1,669 FTEs. Total marketing costs were down 15% year-on-year, driven by the job exits, partly offset by higher marketing costs in Real Estate and Recommerce. Other cost has decreased 26%, driven by general cost reductions in addition to the mentioned termination of the TSAs with Schibsted Media. Overall, this resulted in more than a 10 percentage point improvement in OpEx, excluding COGS over revenue from 67% in Q4 last year to 57% in Q4 2025. Our operating profit for the quarter increased to NOK 234 million from a loss of almost NOK 1.4 billion last year that was impacted by the impairment in Finland. Adjusted for impairments recognized in 2024, the positive development in operating profit reflects the improved EBITDA, but also somewhat lower depreciation and amortization costs and lower net other expenses. The reduction in other expenses is mainly due to lower costs related to restructuring and separation. The fair value of our 14% stake in Adevinta has decreased from NOK 18.9 billion in Q3 to NOK 16.1 billion now at the end of Q4. Based on the updated valuation, a loss of NOK 2.8 billion was recognized as financial expense in the quarter. The decrease is due to multiple contractions in the industry, partly offset by improved performance in Adevinta. Our valuation methodology is kept totally unchanged. In totality, net loss for the group ended at minus NOK 2.5 billion. Now let's move to the cash flow from continuing operations in Q4. Cash flow from operating activities ended at NOK 555 million compared to NOK 245 million in the previous year. The increase is driven by the improved EBITDA, but also positively impacted by lower restructuring payments, positive development in working capital, lower taxes paid, partly offset by some increased net interest expenses. Cash flow from investing activities ended at positive NOK 68 million, mainly related to the proceeds from sales activities linked to our venture portfolio, offset by CapEx of NOK 137 million in the quarter. And finally, cash flow from financing activities ended at minus NOK 1.2 billion, which includes repayment of interest-bearing bonds of NOK 681 million in the quarter and the share buybacks of NOK 448 million. With our solid operational cash flow and significant divestments during 2025, we have, in accordance with our principles for capital allocation, returned a material amount to our shareholders throughout the year. We have paid out cash dividends of more than NOK 1 billion. Additionally, we have bought back own shares amounting to almost NOK 7 billion throughout ordinary share buyback programs, but also the reverse book bill that we executed in June. Despite these significant distributions, we ended the year with a net cash position of NOK 210 million. During 2025, we have repurchased Vend bonds for NOK 753 million, of which NOK 681 million in the quarter. As of 30th of January 2025, we have around NOK 1.1 billion remaining of our ongoing NOK 2 billion share buyback program. The Board has decided to propose an ordinary dividend for 2025 of NOK 2.50 or around NOK 537 million to be resolved at the upcoming Annual General Meeting in April. This is fully in line with our policy of paying a progressive dividend and a slight increase from the levels of NOK 2.25 in '24 and NOK 2.0 in 2023. The scope rating of BBB+ with a stable outlook confirms Vend as a solid investment-grade company. Now let's take a step back and look at our medium-term targets and how we are performing. Despite 2025 being a transition year, we have made solid progress towards the medium-term targets. At the CMD in November 2024, we highlighted ARPA improvements and transactional revenues as our key growth drivers. In 2025, ARPA has improved significantly across mobility, real estate and jobs. Transactional revenues within Recommerce, Real Estate, Rental and Mobility has increased more than 20%. In 2025, the strong underlying growth was partly offset by decisions to close down revenue streams, the separation from Schibsted Media and some volume headwinds. The announced and partly implemented product, packaging, go-to-market initiatives for 2026 across all our verticals are expected to support revenue growth in line with our medium-term targets. Despite somewhat muted revenue growth, the vertical EBITDA margin has improved significantly throughout the year. Mobility, Real Estate and Jobs already have EBITDA margins around the medium-term target levels and Recommerce shows significant progress towards becoming -- having positive margins in the medium term. Looking at our cost development, we are pleased to report strong progress against our targets. OpEx, excluding COGS over revenues, ended at 57% in '25 compared to 65% at the time of the CMD. CapEx ended at 8% compared to 9% at the same time period. The improvements in these ratios have been delivered on broadly flat revenues, showing a significant cost reduction. Going forward, revenue growth is expected to be the main driver for further ratio improvements towards the targeted levels. Wrapping up, I'd like to reiterate that our strategy, our medium-term targets and our capital allocation principles that we presented at the Capital Markets Day remain unchanged. As we enter 2026, we have a sustained ARPA momentum across our verticals, reflecting our go-to-market initiatives. And as I mentioned, we expect these actions to support revenue growth in the verticals in line with our medium-term targets. Visibility on volume remain limited. At the same time, the underlying health and resilience in our marketplaces is strong. In Other/HQ, we expect revenues to be reduced by around NOK 300 million compared to 2025, primarily reflected the termination of the TSAs, but also effects related to the ongoing divestments of our noncore assets. On cost, following the accelerated delivery of cost reduction in 2025, we expect our absolute cost base, excluding COGS, to remain broadly stable in 2026 compared to 2025. Overall, we remain committed and confident in our ability to deliver on the medium-term financial targets, supported by our growth initiatives, a simpler portfolio, continued platform consolidation and a sustained cost discipline. And with that, thank you for joining, and let me hand over to Jann-Boje to take us through the Q&A.
Jann-Boje Meinecke: Thanks, PC. I can see. Many of you are reconnected here on Teams. And first up is Hakon from Kepler Cheuvreux.
Hakon Nelson: Two questions from me today. With the Blocket migration now completed and stabilization phase underway, when do you expect Aurora to start contributing more clearly to revenue or cost efficiency? And also on the Adevinta valuation, it was revised down due to peer multiple compression. Should we interpret this as a purely market driven? Or have there been any changes in underlying assumption we should be aware of in the period?
Christian Halvorsen: es. So I can take the Blocket question first. So yes, the migration of our sites to a common platform is a key pillar of our strategy, contributing both to cost efficiency and to revenue growth, as you say. And I would say that now that we have most of our major sites on this, it is already a driver to, let's say, increased innovation capacity and so on. So -- but we have also before said that most of the cost efficiency of it will come in '27.
Per Morland: And then on your second question, as I mentioned in my section, the modeling and the valuation model is the same. It's entirely due to market factors. It's actually offset a bit by improved underlying assumptions related to Adevinta.
Jann-Boje Meinecke: Thanks, Hakon. Then next in line, we have Will Packer from BNP.
William Packer: Three from me, please. Firstly, could we talk about your plans on ChatGPT integration? We've seen the likes of Scout and Hemnet sort of submit apps for the forthcoming app launch in Europe. I suppose your position is potentially a little bit different because of the huge traffic from FINN generalist. So any kind of insight as to how you're thinking about that strategic question would be useful. Obviously, the context that traffic is very low currently is very clear. Secondly, in the context of all the noise around AI, I think it's fair to say that the Jobs segment is in particular focus. And could we just talk a little bit about the sustained weak inventory trends? So if I look at the Norwegian economy, we've seen 3 years of solid GDP growth, especially in '24 and '25. We've seen low unemployment, and yet we've seen a double-digit CAGR and decline in FINN Jobs inventory. Is that just because genuinely, there has been a 10% per annum reduction in available new jobs? To me, that sounds surprising. Is there some underlying market share loss or alternatives? Just some kind of commentary there would be helpful. And then on a related note, it feels like AI is not necessarily having a productivity positive impact within the job segment. You've got talk about AI slop tsunami, AI applications, AI job screening is not making the market more efficient. How do you see that as an opportunity for FINN Jobs? How can you exploit that? Just a little bit of color there would be helpful.
Christian Halvorsen: Yes. First, on the ChatGPT question. I think we have extremely strong confidence in the strength of our positions. And based on that, we don't see it as the -- let's say, that it's necessary to be the first mover on having an app in ChatGPT. But we are -- so that means we don't have any current plans of launching ChatGPT app. That doesn't mean that we're not evaluating it. We are evaluating various options for, let's say, controlled data distribution through these AI platforms, and that includes apps as one option also. So let's see where we end. We are following the evolution and yes, we will come back to that later. Then on Jobs, first on the volume part, it's important to remember that there was a huge boom with COVID. And it has actually been a negative trajectory since then. And we are now back to volumes that are more, let's say, in line with the volumes that were before the COVID boom. If we follow our volumes compared to, let's say, the national statistics, they are very much in line. So there are no indications that we are losing market share as such. And in fact, if you look at many of the parameters that we have, let's say, in unaided awareness and things like that, we are actually coming out stronger in the Jobs area than we did before. Then on a more broad question around how will, let's say, the overall job market evolve with AI and so on? And what kind of opportunities does that mean for us? Well, it's hard to kind of say in general how the job market will evolve. But I actually see many opportunities for us to leverage AI to make the entire job market more effective. It provides a lot of new tools to be better and more targeted at matching consumers and recruiters in a very good way. I think the tools that we showed were indicative of that. And we actually get a lot more insight into candidate preferences as an example.
Jann-Boje Meinecke: Thanks, Christian. And then next in line, we have Giles from Jefferies.
Giles Thorne: So it was a question back on the AI and thank you for the comments on the content today. It'd be useful to hear -- I guess it's a different way of asking the same question around Jobs, but it would be interesting to hear you talk about how you see the risk and the opportunity, I suppose, for each of your 4 verticals, which vertical are you most worried about, which are you most excited about? And the second question then is on Tradera launching in Mobility. And if we look over to Spain, obviously, Wallapop has been very successful disrupting, using Recommerce as a platform to disrupt [ coaches ] in Mobility. So I'd like to hear why it will be different for you in Sweden, especially given the recent [ botched ] migration. And then lastly, and I think it's probably a short answer and we will instinctively know, but the shuttering of Wheelaway, it feels a little bit odd because you had the playbook from AutoVex, you got the dominant position in mobility. It was the asset-light model. It just feels odd that you would choose to shutter this one at all. So a bit more on your decision there.
Christian Halvorsen: Yes. Those were quite big and broad questions. But on the first one, on the, let's say, the strength of the different verticals in the AI era. I'm not going to say that one is stronger than the other. I think they all have their different strengths. In general, I would say that they all support, as I also mentioned in my introduction, quite complex and, let's say, high-risk transactions for users that also take a long time. And as such, they are very suitable for quite specific AI solutions as we mentioned. I also want to say that, for example, in many of our verticals like in Mobility and in Recommerce, we have a strong element of consumer content, private content, which is also strengthening the position in the AI, let's say, era because that is kind of harder for these platforms to get hold of. So yes, so I think they all have their strengths. Then Tradera. Yes, we have heard that Tradera is launching a car site. We haven't seen it yet. So I think it's too early to say anything about that, but we are confident in the strength of the Blocket position. It is still a very, very strong brand and has a very strong traffic situation as well. So we are confident in that.
Jann-Boje Meinecke: And then Wheelaway.
Christian Halvorsen: And Wheelaway was the last question. And yes, we shut down Wheelaway after attempting to approach the Swedish market with the C2B model. We had to conclude that the competition in the Swedish market was a lot tougher than we expected. And that also many of the car dealers have a quite, let's say, mature approach themselves to how they source private cars, which made it harder to kind of enter with that kind of model in the Swedish market.
Jann-Boje Meinecke: Thanks for good questions, Giles. And then we have Markus from SEB.
Markus Bjerke: So 2 questions from me as well. So digging a bit more on the OpEx side here into 2026 and your comments on flat costs. If I look at the Q4 level and try to adjust for seasonality and even some inflation, considering you don't have these TSA costs, et cetera, why shouldn't cost be substantially down in 2026 given the level that you are exiting 2025? What are the offsetting factors? That's the first one. And then if you can also elaborate a bit more in Jobs would be helpful on the ARPA growth there. It's very high. You mentioned some changes to the discount model and some upselling, but is there any mix here? Or how should we think about the ARPA into 2026 in jobs?
Per Morland: So I'll start on the cost side. Yes. So you are correct. We are now guiding on a broadly stable OpEx, excluding COGS base in '26 compared to 2025. And I think, as you also mentioned, you need to remember there are seasonality if you look at the sequential development on a quarterly basis, particularly from Q3 into Q4. But also remember that a lot of the, let's say, the positive development we've had in '25 is either connected to us serving the TSAs that is no longer there. So that will not repeat itself in '26. But also, we did a lot of measures in '24, both on downsizing and shutting down jobs that we haven't -- we don't have a similar initiative executed in 2025. So just keep those in mind. We will continue to work on our cost agenda. We will continue to implement structural cost initiatives. We will continue to push and leverage AI to become more productive. And we expect, as we have said before, that we will be fewer FTEs also going forward. And then a bit later, you will also start to see more effect coming from the platform transition. So I think that's the combination of those efficiencies will be likely offset by general cost inflation. And also, we are investing into our growth businesses that has been mentioned by Christian, as you also can see partly in the numbers in Q4.
Christian Halvorsen: And on the jobs ARPA, I think we have to separate '25 and '26. '25 is very much driven by 3 factors. One is kind of a general price increase. The second is changes to the volume discount structure. And the third is better upsell of distribution products. There could be some mix effects also from quarter-to-quarter, but that is not driving the kind of the big numbers here. Those 3 are the main drivers. Then going into '26, there will be a slightly different drivers. It will be a more modest, let's say, price increase in line with the CPI adjustment. There will be some changes to the volume discounts also here. But let's say, the new distribution product, the Plus product that we have launched in the market will have a bigger, let's say, impact. And overall, you should expect a somewhat more modest ARPA growth in '26 than what we have seen in '25, but in line with our guidance.
Jann-Boje Meinecke: Thanks, Markus. Then next, we have Silvia from Deutsche Bank.
Silvia Cuneo: I would also like to ask 3 questions. The first is on the Blocket platform transition. Could you provide more specific insights into the current volume trends since the start of 2026? And what is your expected time line for accelerated growth from the announced platform? Is there any risk related to this, the price increase could be delayed further into H2? Then the second question is a follow-up on the guidance for costs that you were just discussing. So while you guided for the cost base to remain broadly stable in 2026, can you also comment on your prior message about the temporary EBITDA headwind that you expected for this year. Has anything changed on this front? And can you perhaps share more color on your expectations for HQ in 2026? And also perhaps about the COGS, just a reminder of how to think about the gross margin development as you further expand into transactions? And then finally, just on the Advertising revenue trends. The Q4 results still showed a diverse picture for advertising revenues. So I wanted to ask if you could share your updated outlook for Advertising revenue growth in 2026 in light of the current macro environment and as the TSA agreement expired.
Christian Halvorsen: Yes. On Blocket first and what we see into this year, I think just a reminder first that on, let's say, the professional volumes and also professional sellers, it's kind of broadly stable, right? So it's in the private side, the private ads that we see a decline. That decline, we also see going into '26 that continues from '25. But it's also fair to say that with all the, let's say, initiatives and product improvements and so on that we have done, we also see, let's say, an improvement week-over-week since the beginning of the year. So at the current time, we don't expect any, let's say, further delays in the price increases. We have said that they will come later in the first half of this year. Then I also take the advertising thing. So we saw in Q4 that it came back to growth in Mobility for the first time, still a decline in Recommerce. Going into this year, I think the trend will continue, but it is hard to predict, as we have also said before. But for example, we could expect, let's say, going into the year that for Recommerce, it is broadly, let's say, on a stable level as what we saw in Q4.
Per Morland: And then on your second question, there was multiple questions in that, but let me start. On the HQ Other segment, in Q3, we gave an update that we -- given the significant revenue reduction in '26 compared to '25, we could see a negative drag up to NOK 100 million in '26 compared to '25. Now that we have a bit more information and we have seen quite a good progress already in Q4, we have somewhat increased visibility. We still don't have perfect information because we're still exiting some of our companies. But if I'm going to give you kind of an updated assessment from my side, I gave you the revenue we expect to be around NOK 300 million lower on an annual basis. That has not materially changed. But then I think given our cost progress as of now, I think a better update now will be up to NOK 50 million drag is what you could expect for that segment in '26. Then you have a question around COGS. Remember that the main part of our COGS is related to the transactional revenues, particularly then in Recommerce. So we haven't given specific guidance and color on that, but you can see the trends in the data that we have provided for '25. And then as transactional revenues growing in Recommerce, you should also increase COGS in a similar way, right? But we have been able to improve the margins on that in '25, and we will continue to try to do that also going forward. Then you asked about second half. I'm not going to give you any more color on the phasing of the cost development throughout 2026.
Jann-Boje Meinecke: Thanks, Silvia. Then back to Oslo. We have [indiscernible] from Arctic. Can you hear us?
Unknown Analyst: I have 2 questions. So the first is with regards to Blocket and the delayed price increases for 2026. How should we kind of -- is this due to the pushback? And how should we look at this going for the rest of 2026? And my second is related to Adevinta. So Adevinta has quite some leverage now. And given that the value fell approximately 15% quarter-over-quarter, how should we bridge this? Because given the leverage, I would assume that the value would have dropped approximately 30%. So some more color on the performance and maybe leverage as well.
Christian Halvorsen: First on Blocket. I want to say that we have worked a lot with our car dealers. Before we made the transition, we had a lot of, let's say, positive engagement and so on from the car dealers going into this and still have. Then, of course, as I also mentioned in my presentation, there have been reactions. There have been some issues that happened as we launched on the new platform. And we felt that in this situation, it is better to have a long-term view on the, let's say, the partnership that we have with the car industry and don't push ahead on this pricing agenda, but rather kind of just push it a little bit forward in time to -- and still do it, of course, but kind of make sure that we stabilize and we prioritize delivering value to our customers at this point in time. And this has been very positively received by the car dealers. So it's part of our building trust and, let's say, Net Promoter Score and so on over time with the industry.
Per Morland: And then on Adevinta, I cannot give you too much details on the questions. But just to sort of be clear that our model is the same as before. As I also said in my comments that the contraction of the multiples also reflecting the leverage situation is a clear negative in the quarter compared to Q3, but that this is somewhat offset by underlying improvements in the performance of Adevinta. And that is coming from both closing on a strong 2025, but also increased visibility and confidence into the performance now as we have entered 2026. And then remember, we do evaluation now on a combination of the multiples of '25 and '26 and also looking at both EBITDA and also EBITDA minus CapEx. I cannot give you more color on the leverage situation at Adevinta other than what was communicated in Q2 last year.
Jann-Boje Meinecke: Thanks, PC, and thanks for the questions. Then there's a hand from you, Giles. I don't know if it's a new or old one. It seems like it's an old hand from you, Giles. And then I don't see any further questions, and we can round up for today. So thank you very much for joining.
Christian Halvorsen: Thank you.